Operator: Hello and welcome to Nokia’s Second Quarter 2020 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to – Mr. Shimao, you may begin.
Matt Shimao: Hello? Okay. Wonderful. Ladies and gentlemen, welcome to Nokia’s second quarter conference call. I’m Matt Shimao, Head of Nokia Investor Relations. Rajeev Suri, President and CEO of Nokia; and Kristian Pullola, CFO of Nokia are here with me via conference call today. During this call, we’ll be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risk and uncertainties. Actual results may, therefore, differ materially from the results we currently expect. Factors that could cause such differences can be both external, such as general, economic, and industry conditions, as well as internal operating factors. We have identified such risk in more detail in the section titled Operating and financial review and prospects-Risk factors, of our 2019 annual report on Form 20-F, our financial report for Q1 published on April 30 on Form 6 K, as well as our other filings with the U.S. Securities and Exchange Commission. Please note that our results release, the complete interim report with tables and the presentation on our website include non-IFRS results information in addition to the reported results information. Our complete financial report with tables available on our website includes a detailed explanation of the content of the non-IFRS information and a reconciliation between the non-IFRS and the reported information. With that, Rajeev, over to you.
Rajeev Suri: Thanks, Matt, and thanks to all of you for joining today. I hope you are continuing to stay well and safe amid the COVID-19 pandemic. I’m pleased to say that our second quarter is now the proof-point that we continue to make strong and meaningful improvements in our business performance. We have been consistent in saying that we are taking the right steps to deliver progressive improvement over the course of this year. And in my view, we remain on the right path to deliver on that promise. In fact, we went into the second quarter with some concern given the ongoing pandemic. But we ended being quite pleased with where we landed. Consider the following highlights. First, year-on-year profitability was up. Non-IFRS diluted earnings per share was €0.06, up €0.01. Nokia level non-IFRS operating margin was up 40 basis points. Nokia level gross margin was back to around 40%. Networks’ gross margin was up 450 basis points, following a 350 basis point gain in Q1. And Mobile Access gross margin was up significantly. Second, we saw significant improvement in cash generation. We ended Q2 with €1.6 billion in net cash, up from €1.3 billion in the previous quarter and total cash was €7.5 billion. Free cash flow in the quarter was positive €265 million versus negative €1 billion in Q2 2019. Given our strong first-half improvement, we now expect free cash flow for full year 2020 to be clearly positive compared to our earlier guidance of positive. Third, even if revenue was down by 11%, the majority of that decline was the result of the impact on our business from COVID-19, as well as a significant drop in sales in China, given the prudent approach we have taken in that market. We also saw a reduction driven by our proactive steps to reduce the volume of low-margin services business. In terms of the pandemic, we saw a top-line impact of about €300 million in the quarter, and most of that, we expect will be shifted to future periods. Based on this solid improvement, I would like to spend some time talking about the underlying Why, about the drivers that we believe have supported this outcome. We had both a favorable product mix, more capacity, less deployment services, as well as regional mix with more North America and less China. While some of this will likely continue in the near term, we would expect it to be slightly less pronounced compared to the just-ended quarter. I would note on the capacity topic that we saw better-than-expected results from our 4G/LTE business in the quarter. What has been a capacity phase in some markets has now become a worldwide development. This has happened slightly faster than we anticipated, possibly driven by network requirements during the pandemic, and we expect it is here to stay for some time. Ultimately, however, we believe that a key driver of the gains we have seen so far this year are based on underlying structural improvements. To get more perspective on this topic, I would like to spend the rest of my time on four key areas: 1, Mobile Access and the improvements in that business; 2, our actions to strengthen cash generation; 3, progress within our business groups; and 4, progress in our strategic diversification in enterprise and software. Let’s start with Mobile Access. We have said that executing in Mobile Access is one of our top 2 priorities for 2020. To do that we said we would improve profitability through consistent product cost reduction, maintain the scale necessary to be competitive, enhance commercial management and deal discipline, and strengthen operational performance in services. In each area, progress continues and results are becoming more and more apparent. In terms of product cost reductions, our shipments of our 5G Powered by ReefShark continue to grow. In Q1, both shipments was 17% of our total 5G deliveries. In Q2, we landed at 25%. We believe that we remain on track to reach 35% or more by yearend, and more is very possible, although that is dependent on the speed of customers transitioning to new technology during the pandemic. In terms of roadmap for our mobile radio products, we are making meaningful progress in closing gaps to the competition where they exist. Those gaps are certainly not everywhere. And in some areas we are ahead. And I’ve seen that perspective validated in recent customer segments. As examples, when you look at the next generation technologies that will be critical for the future such as vRAN, Cloud-RAN and Open RAN, Nokia is in a leadership position with our globally available solutions. We’re also differentiated by the breadth of our massive MIMO and 5G small cells portfolios. You may also have seen that in June we announced our collaboration with Broadcom on system-on-chip technology that will be integrated into our 5G Powered by ReefShark portfolio. This builds on earlier agreements with Intel and Marvell, and completes our efforts to diversify our supplier base in this critical area. For those of you interested in more details on our progress in mobile radio, I would encourage you to go to nokia.com and look at the blog that Tommi Uitto, President of our Mobile Networks business has posted today. In his blog, Tommi covers some key changes we have made, including a doubling of system-on-chip developers, increased R&D velocity by approximately 50%, new leadership and clarified accountability. A transition to a large scale agile development model with end-to-end feature teams, resulting in better software quality and faster time to market with the flexibility to adapt to changing market requirements and much more. These efforts have resulted in a broad-based improvement across essentially all of our key operational KPIs for the business, including software release delivery accuracy, hardware and software quality, feature development efficiency, and as I’ve noted, roadmap competitiveness. In short, we are moving fast to ensure that our entire mobile product portfolio is extremely competitive. Then maintaining scale, where we continue to track to our plan to have 4G plus 5G market share, excluding China, at around 27% at the end of 2020. We are now at 83 commercial 5G deals and 32 live network deployments with more to come shortly in book. We’re also well positioned in large scale mid-band radio, with products deployed to 55 customers and the first live C-Band network demonstrated in the US. This means that we have a solution ready to go for when spectrum auctions are completed in the U.S. later this year. Our confidence is supported by our win rate. At the end of Q2, our 5G win-rate remains strong at over 100% outside of China. Including China, we moved into the low 90th percentile from the midpoint of that range, given our continued prioritization of our R&D to meet feature requirements in more profitable markets. The next point I want to make about Mobile Access relates to enhancing commercial management and deal discipline. As I’ve discussed before, we have strengthened many workflow processes and reinvigorated governance for deal approval. This methodical approach is particularly important as vendors seek to maximize footprint gains in the early stages of 5G. At Nokia, we will take steps to maintain sustainable market share, but we will not do so by going down the rabbit hole of pursuing deals that make no sense over the longer term. We are seeing the results from this strengthened approach. When we look approved deals that will be executed in the future, we see an uptick in projected gross margin, operating profit and return on capital employed compared to earlier periods. This is not just a one quarter event as we have seen similar developments going back to Q4 2019. It is another factor that gives us confidence that we are creating sustainable change. My final point on Mobile Access is improving operational performance in services. Mobile Access services saw revenue decline in the second quarter. But some of that was the result of a conscious strategy to exit unprofitable projects and reduce future low-margin business. We also saw a significant COVID-19 impact to our services business in the quarter, as well as an expected slow ramp-up with a key customer in North America, that ramp-up should accelerate in the second half. Pleasingly, despite the revenue decline, profitability in services was down just slightly in the quarter, which testifies not just to our strict deal approach but to the underlying work we are doing to ensure stronger operational discipline, better project execution, and increased automation. Not only has this work benefited our performance, but it has driven better customer satisfaction, with our most recent survey showing a significant upswing in our rating. The second topic I want to talk about, albeit briefly is our other top priority for 2020, strengthening cash generation. I already talked about our much improved outcome in the second quarter. This was driven by the structured program that we put in place some time ago that included a centralized war-room to drive a company-wide focus on free cash flow and release of working capital, project asset optimization, strengthened contractual terms with customers and suppliers, reinforced controls across our supply chain; ensuring the right people have the right incentive targets; optimizing inventory and more. Our discipline and focus in this area is clearly delivering results. We believe the work we have done has put in place the right processes to deliver sustainable progress in this critical area. The third topic I want to cover is about the progress we are making in the performance of our various business groups. While I talked about Mobile Access already, I would like to cover some other developments. Starting with Fixed Networks, where we are clearly seeing signs of improved execution. Our Fixed business grew in mid-single-digits in Q2, excluding China, with robust profitability. Orders improved on a year-on-year basis and we have visibility to longer-term opportunities, particularly in fiber deployments that stem from the response to COVID-19. We have also taken the step, as you have seen earlier this week, to streamline the Fixed Networks business by selling part of our cable industry portfolio to Vecima Networks. This asset sale concerns our Gainspeed portfolio, although we will continue to serve existing cable customers with fiber, software, routing, transport, mobile and Fixed Wireless Access solutions. The Fixed team logged some good wins in the quarter, including one with Openreach that significantly extends the operator’s full-fiber network capacity and coverage in 20 million homes in the UK; and one with National Broadband Ireland to deploy fiber broadband solution for 540,000 rural premises in Ireland. Then, our IP Routing and Optical Networks, or ION, business group. On the IP Routing side, sales were down in Q2 versus last year, but it is important to remember that in the first half of last year we were catching up from the supply chain shortages we experienced towards the end of 2018. When you adjust for those catch up sales, routing would have been roughly flat year-on-year. We are confident that our position in routing remains very strong, with excellent Q2 profitability, clear product leadership and healthy market momentum. As one example, we ended the quarter with more than 220 customer projects underway using our new FP4 chipset and around two-thirds of those projects involve either new footprint for Nokia or Nokia displacing a competitor. As we have said in previous quarters, we believe we are clearly gaining market share. I hope you all saw our announcement shortly after the end of the quarter that we were expanding our IP Routing business into the data center networking market. Our approach is unique, a true clean-sheet rethink designed to give control back to cloud builders. We co-developed our solution with leading global webscale companies, including Apple, who is deploying our technology at its data centers. We also have strong support from BT, Equinix, the London Internet Exchange, or LINX, Turkcell, and others. On the Optical side, Q2 sales were soft but orders in the first half of the year were excellent. We have faced some supply issues with a key vendor hit by COVID-19, but see that situation easing in Q3. Kristian will cover Nokia Technologies, so I will limit my comments to note that gross margin was robust, although operating profit was hit by a sales decline driven by a one-off payment last year and the impact of the pandemic on brand licensing royalties. We continue to generate new intellectual property at a robust rate and expect to remain in the top 2 in 5G standard essential patents. Diversification continues as well and, as one example, we are seeing growing consumer electronics wins for OZO Audio, which is now in 31 devices, including Panasonic, OnePlus and ASUS. Finally, let me cover the progress we are making in our strategic focus areas of Nokia Enterprise and Nokia Software. First, Nokia Enterprise, which had a terrific quarter. Constant currency sales growth of 18% was solidly in the double digits, and margins expanded nicely. Driving this momentum was our webscale and private wireless business, particularly in the energy, manufacturing and logistics sectors. In addition, we now have more than 180 private 4G and 5G deals, and 83 new Enterprise customers have been added so far this year as we continue to expand our footprint. Overall, I remain very pleased with the trajectory of this business. So far, our Enterprise customer base has remained relatively resilient during the pandemic and we continue to see a path to double-digit growth on a full-year basis. Next, Nokia Software, which had headwinds that we flagged in our Q1 commentary due to a particularly strong Q2 2019 comparison. When you look at Software more broadly on a first-half basis, constant currency sales were up in all its key growth markets including North America, and down just in China and India, and its margins were healthy as well for the first 6 months. Nokia Software continues to progress well against its strategy and against the competition, underpinned by strong execution and the comprehensiveness of our portfolio and Common Software Foundation. This platform offers the industry’s leading cloud-native, multi-vendor, and multi-network solutions combined with a robust partner ecosystem; and we continue to see the proof of that in our deal-win rate. For the sake of time, I will keep my regional comments very short. In China, sales declined significantly based on the prudent approach we have taken in the market. While year-on-year sales were down 2% in Europe, there are early signs of a recovery in that market as the COVID-19 pandemic becomes more under control and transition to 5G accelerates. In India, part of our reported Asia Pacific business, we saw some negative impact due to ongoing market uncertainty, although we continue to believe we are number one in India. In APJ, excluding India, we grew in the quarter, showing our widespread strength in the region. Latin America has been hit very hard by the COVID-19 pandemic and that had a significant impact on our sales in the region. Middle East and Africa is facing a somewhat similar situation, although to a lesser extent. In North America, sales were down 4% year-on-year, a better result than the company as a whole. This region was unfortunately hit by supply issues resulting from COVID-19. There is a considerable amount of activity in the market related to the now-completed merger of T-Mobile and Sprint, preparation for the release of additional mid-band spectrum, operators assessing their cloud strategies and more. Enterprise demand also remains robust, especially wide area network builds by utilities, and we are preparing to expand into the U.S. federal business in the coming quarters. Even if we have had some challenges with U.S. customers related to our radio portfolio in the past, many of those issues are now largely history. Despite those issues, if you look purely at mobile radio product capability we think we are well-positioned given our robust mid-band radio portfolio and announced plans to accelerate in ORAN and VRAN. My last comment about regions is related to geopolitical trends. In the past, we have said that we were watching the situation closely and were ready to meet customer needs. That remains true today, although unlike what we have seen before, we are now seeing concrete mid-term opportunities emerging. As those develop further, we believe we are well-positioned in terms of both product capability and capacity. The underlying issue remains a topic for governments to resolve, but we are ready and able to provide any necessary support. Last quarter I finished my remarks by touching upon our sustainability strategy and I want to do the same again today. At Nokia we strongly believe that connectivity and technology will play a key role in helping solve future challenges. Sustainability is a broad topic, and as a company, we have chosen to focus on climate, integrity and culture. On climate, we continued our project to recalibrate our existing science-based targets according to the 1.5 degree Celsius warming scenario and we are seeing progress in commercializing solutions that decrease network-related emissions. With regard to integrity, in addition to our well-established processes, we launched new training in the quarter covering our human rights policy. Additionally, following the launch of our COVID-19 donation fund in Q1, we continued to engage with local organizations such as hospitals, community groups, and NGOs in nearly 50 countries, helping them fight the pandemic and mitigate its impacts. And regarding culture, we continue to promote a culture of inclusion and diversity, with a focus on accelerating our progress on increasing the share of women in leadership. With that, let me hand over to Kristian.
Kristian Pullola: Thank you, Rajeev. Today I would like to kick things off by walking you through our current liquidity position and our cash performance in Q2. I will then briefly touch upon our financial results for both Nokia Technologies and Group Common and Other, and then take you through a few group level highlights, including an update on our cost savings program and finally, close with some remarks on our guidance. Let’s start with our liquidity position and cash performance, both of which exemplify the strong progress we have made over the last year. We closed the quarter with a strong total cash position of €7.5 billion, a sequential increase of approximately €1.2 billion. There were 2 primary drivers for this increase: first, the proceeds from a debt issuance that we successfully completed in early May; and second, strong cash performance in the quarter. In addition to our cash position, we continue to have a €1.5 billion revolving credit facility available to us. This facility remains undrawn and, in June, we exercised our option to extend the maturity date by 1 year into 2025. Looking at our debt, we now have approximately €6 billion outstanding, all of which is financial covenant free, with an average maturity of 6 years, and a smooth repayment schedule. This includes the €1 billion debt raised in Q2, on a net basis. I am confident that we have taken the right actions to conservatively manage our balance sheet. This positions us well from a liquidity standpoint during these uncertain economic times. Sequentially, Nokia’s net cash increased by approximately €230 million to a quarter-end balance of approximately €1.6 billion. This increase was attributable to positive free cash flow in the quarter, which was largely driven by our solid adjusted net profit. In Q2, net working capital, excluding restructuring cash outflows, resulted in an approximately €90 million decrease in net cash in the quarter. Within net working capital, we saw the following largely offsetting drivers: liabilities declined by approximately €230 million, due to the payment of 2019 performance-related incentives to employees, partially offset by a seasonal increase in accounts payable; inventories increased approximately €80 million, primarily due to a seasonal increase in inventory, partly offset by temporary supply chain disruptions related to COVID-19; receivables declined approximately €220 million, primarily due to improved collections, partially offset by a seasonal increase in receivables, as well as a sequential lower balance sheet impact related to the sale of receivables. In addition to this, there were 2 other cash-related items I wanted to touch upon. First, CapEx, which came in lower than expected at approximately €90 million. In Q2, our spending was affected by the timing of CapEx due to temporary COVID-19 disruptions. Consequently, we have reduced our outlook assumption for CapEx to €550 million for 2020 from €600 million. The second item was cash taxes, which were €90 million and benefitted from COVID tax related – tax relief. Because of this, we have also updated our cash tax assumption and now expect 2020 cash taxes to be approximately €400 million, or €50 million lower than previously expected. Q2 marks the fourth quarter in a row where we have shown progress in turning our cash performance around, which gives me confidence that we are driving the right rigor and making the right decisions when it comes to especially working capital management. Since we established the free cash flow program in 2019, we have put in place actions to strengthen contractual terms with customers and suppliers, reinforce controls across our supply chain and optimize inventory. These actions are now taking hold strongly and there is further potential for improvement. Moving on to our financial results with Nokia Technologies. A combination of lower one-time net sales, lower brand licensing and lower patent licensing net sales due to expired patent licensing agreements, led to an 11% year-on-year decline at constant currency. Excluding the one-time net sales, Nokia Technologies top-line would have been down 6% year-on-year. At the end of Q2, our annualized licensing run rate rounded down to approximately €1.3 billion. This was related to normal quarterly fluctuations, as well as small reductions due to lower brand licensing, which was driven by COVID-19, as well as the expiration of some small patent licensing agreements. Profits remained strong in Q2, but declined mainly as a result of lower net sales. From an operational perspective, our existing licensing agreements continue to provide us with near-term stability. Nokia continues to invest in fundamental R&D, which enables us to maintain our market-leading patent portfolio during the 5G transition and positions us well for the renewals to come. Moving on to Group Common and Other, where net sales declined 21% year-on-year on a constant currency basis. As expected, we experienced headwinds related to COVID-19, which totaled approximately €150 million. The net sales decline was primarily related to Radio Frequency Systems, due to lower net sales of remote radio head cables, and lower net sales to a number of customers in North America. Alcatel Submarine Networks, or, ASN, also declined, as the impact of the closure of production facilities due to COVID-19 was most – was almost entirely offset by the ramp up of new projects. ASN’s order book and underlying business momentum remained very solid. ASN would have delivered good financial performance in Q2 if not for these COVID-related disruptions. Furthermore, production has returned to a more normal state. And thus, we feel very well positioned in this business, as we enter the second half. The operating loss for Group Common and Other worsened year-on-year, primarily reflecting a gross loss, compared to a gross profit last year, as well as a net negative fluctuation in the value of our venture fund investments. The gross loss was primarily driven by ASN. Then on the venture funds, the net negative outcome reflected mainly changes in foreign exchange rates, as most of our venture fund investments are U.S. dollar based. Looking at Nokia group level results, as Rajeev already touched upon a number of key financial highlights. There are just a few group level topics that I would like to point out. Both Nokia non-IFRS gross and operating margin expanded in the quarter, primarily driven by strong results in Mobile Access within Networks. We are very encouraged by the traction we have established, but there is still a lot of work ahead of ourselves. Group level operating expenses were down year-on-year, reflecting continued progress related to Nokia’s cost savings program and lower travel expenses due to COVID-19. This was partly offset by higher investments in 5G R&D to accelerate our product roadmaps and cost competitiveness in Mobile Access, which is clearly paying off. We have said that we would continue to invest in R&D and this is exactly what we are doing. Looking at financial income and expenses, the year-on-year improvement was driven primarily by lower costs related to the sale of receivables, and improved foreign exchange results. Please note for your models that we have updated our outlook assumption also for financial income and expenses, and we now expect that to be an expense of €300 million for the full year 2020 as well as for the long term. This update is due to our expectation for 2 items: first, lower costs related to sale of receivables as we have put in place improved processes that are working well and that are sustainable over time; second, as a result of improved foreign exchange results. Both of these items had been positively impacted by the lower U.S. dollar LIBOR rates. Our Q2 non-IFRS tax rate was 22%, which was lower due to COVID-19-related tax relief. Our non-IFRS EPS was €0.06 in Q2 2020, compared to €0.05 in the year-ago quarter. Next, a brief update on our cost savings program. We believe that we are on track to realize the €500 million target. Our expectation for restructuring charges and cash outflows continue to remain the same. It is worth noting that since the announcement of the plan in October 2018 net foreign exchange fluctuations have resulted in an increase in estimated full year 2020 fixed cost of approximately €70 million. This has created an additional headwind to achieve our planned savings. Despite this, we remain confident that we will hit our targets. As we have said in the past, when modeling 2020, we request sell-side to model our non-IFRS operating expenses for 2020 as follows. The number for your 2020 models should be approximately €50 million higher than our non-IFRS operating expenses in 2019, which were approximately €6.52 billion. Keep in mind, our operating expenses and fixed production overheads benefited from reduced incentive accruals in the second half of 2019, consistent with our business performance. This consisted of, first, an approximately €200 million benefit to operating expenses; and second, an approximately €100 million benefit to gross margin. It is important that you consider these headwinds as you model for the second half results for 2020. Then finally, let’s turn to our outlook, where we have again made a number of adjustments following our Q2 results. First, we have updated our view on our primary addressable market for 2020. We now expect the market to be flattish, excluding China, following a lower-than-expected market impact due to COVID in the second quarter. However, we now expect to slightly underperform our primary addressable market due to lower network deployment services within Mobile Access. Our expectation for operating profit seasonality remains unchanged for 2020. The majority of operating profit expected to be generated in the fourth quarter. However, given our strong free cash flow results in the first half, and the work we have done to improve our net working capital, we no longer expect free cash flow seasonality to be similar to last year. If you recall, last year, our cash flow performance in the first half was quite weak. Following the intention to provide updates each quarter to our progress against the midpoints of our outlook ranges and given the strong first-half results, we have adjusted the midpoints of both our non-IFRS operating margin and diluted EPS expectations for 2020, within the previous previously provided ranges. We now expect our non-IFRS operating margin to be 9.5% plus or minus 1.5 percentage points and our non-IFRS diluted EPS to be €0.25 plus or minus €0.05. Finally, and very pleasingly, as we have delivered better-than-expected free cash flow in the first-half of the year, we now expect recurring free cash flows to be clearly positive for 2020. Despite the ongoing macroeconomic uncertainty, I feel we are managing very well through these challenging times. Our year-to-date performance, our strong liquidity position and our resilient customer-base gives us increased confidence that we are on the right track. Before handing the call over to Matt, I would just like to say thank you. As you know, this is my last quarterly earnings call with Nokia. I care deeply about this company and I know many of you also care a lot about Nokia’s future success. I cherish the relationships we have built over the years. And I’m grateful over the many learning experiences that we have shared together. Thank you. With that, I hand over the call back to Matt for Q&A.
Matt Shimao: Thank you, Kristian. For the Q&A session, please limit yourself to one question only as a courtesy to everyone else in the queue. Cole, please go ahead.
Operator: And we will now begin the question-and-answer session. [Operator Instructions] And our first question today will come from Sandeep Deshpande with JP Morgan. Please go ahead.
Sandeep Deshpande: Yeah, hi. Thanks for letting me on, and all the best to you, Rajeev and Kristian, in your future endeavors. My question – you’ve had a very good second quarter in terms of your margin. If one looks at your gross margin in Networks, there is almost 500 bps or more than 500 bps improvement from the first quarter. Clearly, I mean, your product itself is improving. We’ve seen data points from the supply chain of your suppliers beginning to supply to you on the [E6] [ph]. So I’m trying to understand here that if one project, this grows margin into the second half of the year, your guidance should be much higher than what you have guided the market to at this point. So why are you saying at this point that your gross margin is going to decline into the second half of the year, given this significant improvement you’ve seen in the current quarter? Or is it that there was a huge mix shift in the current quarter, which is not going to be sustained into the second half of the year? Thank you.
Rajeev Suri: Thanks, Sandeep. And thanks also for the good wishes. So first of all, Sandeep, I think we put in place this strong centralized commercial management deal discipline last year. And that is helping us with these underlying structural improvements. And so, if you think about where that margin strength came from, the first is 4G LTE, because 4G LTE is now pretty much on a worldwide basis entering this capacity phase. The second, of course, because of our 5G system-on-chip, it helps us in 4G LTE when we are bidding for these combined deals which have 4G and 5G. Having said that, we haven’t yet felt the impact in any meaningful way from the 5G SoC which will come in due course, because remember, there’s a 6 month lag between shipments and actually banking some of the benefits. The other areas where we benefited with IP routing, fixed, and IP routing because of technology leadership we have there, still that window remains open for us. But there is also this product and regional mix issue that we benefited from in the quarter, which will be slightly less pronounced as you move forward. So those are kind of the puts and takes, 4G, routing, fixed, and then this product regional mix that will be less pronounced in [as well] [ph].
Matt Shimao: Thank you, Sandeep. Cole, next question, please.
Operator: And our next question will come from Robert Sanders with Deutsche Bank. Please go ahead.
Robert Sanders: Yeah. Hi, good afternoon, and my best wishes to you guys as well. My question is just about Huawei, Huawei dominant footprint. What are you actually hearing from operators in terms of you getting a second look? And how are you going about engaging with these operators that maybe you haven’t engaged with for a while? And within that, are you seeing any particular region where those operators that were previously dependent on Huawei are now coming to you? Is it Europe, Middle East or is it even Asia and LatAm as well? Thank you.
Rajeev Suri: Thanks, Rob. Yeah, yes, we’re seeing several countries consider their 5G technology event with options. I think Europe is, clearly, one of them, where there’s probably most of that momentum. Now, whatever the government’s decisions are, we are ready to help our customers wherever they are in the world. So we have the capacity. We have the scalability. We’ve got the products. And, to me, it isn’t just about radio. It is also about core, that being sensitive. But it’s also about transport, so routing in particular. I mean, that’s also considered IP core, and then, to a lesser degree, also fixed. So I think it’s going beyond the evaluation or reevaluation of endless lectures resulting in concrete medium-term opportunities, the emphasis on medium-term, and that’s where things are. So we’ve seen already before in Canada that we were able to expand our share. We saw that in Japan with SoftBank, with KDDI. We’ve seen Vodafone Hutchison Australia where we entered, where we were not a supplier at all. Now, we are a sole supplier in [accountable] [ph] radio and transport. Thanks for the wishes.
Matt Shimao: Thank you, Rob. Cole, we’ll take our next question, please.
Operator: And our next question will come from David Mulholland with UBS. Please go ahead.
David Mulholland: Hi. Thanks for taking the question. And good luck from me as well. Just on the commentary around win-rate and market share, obviously, still remaining above 100% ex-China. As you look at that into the second half of the year and into Q3 and Q4, given current visibility and deals you think are up for grabs, do you think that’s something you can still sustain from here? Obviously, there’s some opportunities from Huawei, but are there other any other areas you are feeling some pressure?
Rajeev Suri: Thanks, David. So at this point, based on the visibility, we have – we believe that that 4G plus 5G market share of 27%. And the win rate of above 100% excluding China is what we’re looking at. That’s what we’ve seen. And then there are puts and takes as always in this business. There are some win-backs, there are some stresses. But so far that’s the number we’ve seen.
Matt Shimao: Thank you, David. Cole, next question, please.
Operator: And then, the next question will come from Achal Sultania with Credit Suisse. Please go ahead.
Achal Sultania: Hi, good afternoon. All the best, Rajeev and Kristian, from my side as well. Maybe I think Rajeev, which you touched upon this topic in the U.S., highlighting that one of the key customer were still seeing slow ramp in Q2. And obviously, you are talking about the acceleration in second half of the year. Can you help us understand, is it going to be across the board or is it going to be with one specific customer when we think about second half? And then, what exactly like kind of products is this customer looking to deploy in the U.S.? Is it mainly focused on mid-band? Or is it a combination of macro mid-band and small cells, and then software upgrades as well? Thank you.
Rajeev Suri: Yeah. Thanks, Achal. So what we’ve seen so far in the U.S. is that there’s been reforming preparation for Dynamic Spectrum Sharing, so that means low-band 5G, right, 850, 900 and so on. What we saw last year with millimeter wave, but also, low-band in the case of T-Mobile, 600. And now I think, with this mergers coming together and clarity in terms of second half. We see that the ramp up will increase in both low-band with that particular operator, but also the mid-band, right, that’s a spectrum that they’ve now got. And so there’s – in Q2 with the big soft, especially in services. And now as the sites come online, and if they get clarity off of their own roadmap, then that’ll accelerate in the second half. When you talk about C-band, which is the broader options base that will happen at the end of this year, results should happen at some point in Q1 next year, and that spectrum will be cleared for you by the operatives that are the winners in that space only by the end of next year. And then, of course, on a different related note, the CBRS band opens up opportunities for enterprise players, particularly utilities, that will look to drive field area networks and, of course, from our enterprise business we’re super keen on that opportunity as well.
Matt Shimao: Thank you, Achal. Cole, next question, please.
Operator: And the next question will come from Simon Leopold with Raymond James. Please go ahead.
Simon Leopold: Well, thank you for taking the question, Rajeev, good luck on your next venture. Just wanted to maybe get to a key point here, given the 2020 outlook you’ve provided, can we consider this evidence that your relationship with Verizon, likely one of your biggest customers remains solid, and that your plans with that customer on 5G are on track per your prior plans? Thank you.
Rajeev Suri: Thanks, Simon. We do not comment on our customer’s vendor strategy. Nokia is proud to serve Verizon and we are committed to continuing to help them build the best reliable and highest performing network. We work with them across multiple technologies so far end to end portfolio, if not all. And we have a longstanding strategic partnership in key technologies, and we play a critical role in Verizon’s 4G networks and continue to work with them to accelerate innovation around 5G technology.
Matt Shimao: Thank you, Simon. Cole, we’ll take our next question, please.
Operator: And the next question will come from Alex Duval with Goldman Sachs. Please go ahead.
Alex Duval: Yes. Hi, there. Many thanks for the question, and thanks for the help with these – on some questions of [VAs] [ph]. Just one if I may, you’ve talked about continuing to track towards the 35% on ReefShark shipments by the end of this year. I wondered if you could talk more broadly about how you assess the later stage of your product in terms of competitiveness on wireless? And how many more quarters roughly it would take if you need to be on a par with others in the market? I wonder if you could talk about some of the other dimensions to bear in mind.
Rajeev Suri: Thanks, Alex. So by the end of the second quarter, the new ReefShark SoC based massive MIMO radio unit. This product family was shipping in about 13 variants across the global market in different frequency ranges, and this number continues to rise. That’s the one thing. Remember, we said, we will first start with the RF part of the SoC. And then we also have the ReefShark SoC is available for the next generation of Nokia multi radio baseband. So this is the next thing that we said we will start shipping and we’re on track to start shipping the baseband board by the end of 2020. And then if we look at next year, we expect that our ReefShark SoC based baseband and radio units will take the lion share of our delivery, so reaching at least around 70% by year end. So that’s how we see it in terms of the product competitiveness, we are shipping products now with the lower part consumption, higher performance and lower product costs. And then when it comes to features, I think the catch up has accelerated in the last few quarters. And yes, in some features were a little bit behind in the order of – a few months and then in some other places like small cells, et cetera, where we’re also ahead. And then when it comes to the next generation, we get this feedback from all of our customers that that went ahead in vRAN, Cloud-RAN, and Open RAN. And we are going to continue to accelerate in these next generation areas.
Matt Shimao: Thank you, Alex. Cole, next question, please.
Operator: And the next question will come from Alexander Peterc with Societe Generale CIB. Please go ahead.
Alexander Peterc: Hi, and thank you for taking my question. Best wishes to both of you as well on my side and your future endeavors. Can you just provide a little bit of color on the margin recovery – the gross margin recovery in the network business, particularly in mobile. If you could tell us, if it’s more on the hardware side or in service delivery, what’s the contribution of both of these to improvement? Thanks.
Rajeev Suri: Thank you, Alex. Yeah. So – yeah, it was 3 things for Mobile Access: one, a reduction in low margin services, right. So exiting some unprofitable managed services, contracts and reduction of deployment devices, we’re actively out of choice; second, 4G LTE being in the capacity phase, so we saw an uplift in margins in 4G LTE, and we will not see it to the same extent in future quarters, it will be – to a slightly lower extent, but the fact that 4G LTE is in this capacity phase worldwide, it’s just going to remain as a reality now for the medium- to long-term. And then the third was, of course, in 5G SoC, when you have more of these SoCs shipping System-on-Chip products with lower product cost that makes you competitive in [page] [ph]. And that means that you are more competitive and retain more margins in 4G as well, so you get that indirect benefit. We haven’t yet seen 5G System-on-Chip material benefits, yes, because – yet, because, we only had 10% run rate at the end of Q4. And remember, there’s a 6 month lag and that is yet to come. So I think what I’m saying is that with both the commercial management and deal discipline, as well as some of these product benefits now we’re seeing, for the most part structural improvements on an underlying basis, with the exception of Q2 where we saw a little bit better regional mix and product mix that that might not record to the same extent.
Matt Shimao: Thank you, Alex. Cole, next question, please.
Operator: And the next question will come from Dominik Olszewski with Morgan Stanley. Please go ahead.
Dominik Olszewski: Hi, everyone. Thanks for taking my question. Then I’ll add my best wishes too. My question is around the recent news reports on exports from China, maybe could you discuss Nokia’s ability to service the rest of your global customers? Should you see export controls be put in place, for example, in China but elsewhere? And how independent and modularized is your internal supply chain more broadly?
Rajeev Suri: Thanks, Dominik. Look, as a global company operating in a multitude of regions, if we have – more than 31 – network of 31 factories without EMS suppliers. We have a number of fulfillment hubs for logistics. So we are mindful of the geopolitical environment and the risks and opportunities that it creates for us. We have a global supply chain footprint and it is designed for optimize global supply, and it’s designed to mitigate against risks such as local disruptive events or transportation capacity. And actually it’s become even more agile, because we’ve had to do this in the pandemic before than ever, because we were seeing effective lockdown some countries you have to move, factory capacity to other countries and so on. So literally on a week by week basis, you have to have this agility. So we are continuously reviewing our supply chain strategy and given both COVID-19 and the geopolitical situation that this is receiving a greater than usual attention with multiple scenarios and so on that you’re working on and the key word is agility.
Matt Shimao: Thank you, Dominik. Cole, next question, please.
Operator: And the next question will come from Richard Kramer with Arete Research. Please go ahead.
Richard Kramer: Thank you very much. It feels like an end of an era, guys. Right now the industry discussion seems to be dominated by Open RAN. And indeed Tommi’s blog post talking about it is creating the future rather than protecting the past. But one of the big questions for investors who’ve seen the impact of white box vendors in areas like networking and server is the implications for Nokia’s profit pools in network equipment given your chipset investment, and specifically also for the future of your services business, where you still have a lot of headcount. So can you talk through how you might have transitioned Open RAN, and protect your profit pool when we’ve seen similar moves, guesstimate the profit pools and other sectors? Thanks.
Rajeev Suri: Thanks, Richard. I think the first thing I’ll start with is that we obtain the same thing happen in core networks, right. We saw that when it started to shift to virtualized and now cloud-native, so we have some experience with navigating that space. And what I would say is, I’ll give you some puts and takes. First of all, we started this already, right. We have a long history of involvement in open initiatives in 3GPP, the Linux Foundation’s ONAP initiative, multi access edge computing, working with Rakuten, right, we took a step in that direction already in 4G, ahead of Open RAN in 5G. We joined the Open RAN policy coalition, because it gives us the opportunity to promote open standards or the strategic and policy level, as well as from a technology standpoint. So if we do this well, the opportunity is that services could grow. There could be more software. And my favorite one is that we’ll stop swapping each other, because mix and match is not a bad thing, right. So we swap each other fairly modern equipment sometimes, because there’s an entry barrier if you’re not in the game in that network. And then I’ll remind us all that, the amount of features that we have in our operative need by the way of feature parity, it isn’t what the some of the smaller vendors are offering, I mean, they have 50, 60, 70 features maybe more suited for enterprise, but when it comes to the service providers with thousands of features that they want to carry over from 4G to 5G, and next generation 5G. And then System-on-Chip will be a key determinant there as well. It may not be as much for vRAN, but absolutely will be for Open RAN, because a lot of the network performance, lower power consumption, the better product cost efficiency, all comes from SoC. So those are some of the advantages. Of course, there’s also a threat in the installed base. If you have a strong installed base isn’t actually a threat. But I think that hopefully is a good perspective of pros and cons. And do we you want to leave and not protect, because with or without us open MAN is coming. It will come over a period in time. Some of the forward-leaning operators will start first. But the reality is – and greenfields are already doing it. Reality is it’s happening over time, and we want to lead rather than protect.
Matt Shimao: Thank you, Richard. Cole, we will take our next question. And the next question will come from Stefan Slowinski with Exane BNP Paribas. Please go ahead.
Stefan Slowinski: Great. And thank you for taking my question. Just with the setback from China, the U.S. is obviously becoming an even more important market for you. And I just had a question on the Mobile Access side there. You confirmed sort of the outlook for 2020. If we look to 2021, the market is still expected to be quite healthy. How do you see your share in the U.S., on the Mobile Access side evolving into 2021? Is there opportunity for you to increase share in that growing market or is there a risk that you could see some share loss? Thank you.
Rajeev Suri: Yeah, again, as I said, we’re supplying to all of the operators there. And we are – we’ve got our C-Band product. We have supplied 55 customers out of our 83 5G networks on mid-band, basically. C-Band is mid-band. So we’re ready for that game. The spectrum auctions will take time. And, of course, T-Mobile is happening as we speak. So hard to say how share will evolve some of the C-Band tendering activity will – some of it is in motion, some of it will begin to happen. But all we can say is that we have a strong position today. It’s a focus area, and outside of the service provider space there also other opportunities that we’re focused on. So, so far it’s fine. We just need to keep up the good work in terms of our roadmap competitiveness.
Matt Shimao: Thank you, Stefan. Cole, looking at the time, I think we have time for 1 more question for today’s call.
Operator: And that question will come from Sami Sarkamies with Nordea Markets. Please go ahead.
Sami Sarkamies: Hi, thanks for taking my question. You’re not expecting to underperform slightly your addressable market excluding China. Can you elaborate on the assumptions that have changed during the second quarter? I’m especially interested in whether this is in any way related to U.S. market developments.
Rajeev Suri: Thanks, Sami. That’s a – as we said also in our press release, that’s related to a reduction of low margin services, deployment services in particular, but also managed services is one meaningful example.
Matt Shimao: Okay, thank you all for your great questions today. I’m sorry, we weren’t able to get completely through the queue. But with this, I’d now like to turn the call back to Rajeev.
Rajeev Suri: Thanks all for the good wishes, very much appreciated. It’s been great working with you all. I mentioned in my remarks that we were pleased with where we landed overall this quarter, given the impact of the COVID-19 pandemic and that underlines the trend we are seeing in making meaningful improvements to our business performance. Of course, the pandemic is far from over. And many parts of the world are currently in a very tough situation. The health and safety of our employees remains at the top of our priority list. While I’m satisfied with the work we have done so far to keep our people safe, we will remain extremely vigilant as the situation develops. And finally, this is my last working day as CEO. My last quarterly announcement and I want to close with a note of thanks. A lot of warm wishes to all of you. I leave knowing that you will be in good hands with Pekka Lundmark, with whom the transition is proceeding in an orderly manner. And we will talk to you next quarter. It has been a great privilege and an honor to lead this incredible company in the past 6 years, and Nokia Siemens Networks before that for 5 years, and to be a part of the Nokia family over the past 25 years. Thanks to our shareholders. Thanks to our customers. Thanks to our many other stakeholders. And particularly, thanks to the great employees of Nokia. You have constantly made me proud and I expect that you will continue to do so in the many years to come. Thank you all. It has been a pleasure and an honor. With that, I will hand the call back over to Matt.
Matt Shimao: Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external such as general, economic and industry conditions as well as internal operating factors. We have identified these in more detail in the section titled, Operating and financial review and prospects-Risk factors, of our 2019 annual report on Form 20-F, our financial report for Q1 published on April 30 on Form 6-K, as well as our other filings with the U.S. Securities and Exchange Commission. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect your lines at this time.